Operator: Welcome to MasterBrand's First Quarter 2024 earnings conference call. [Operator Instructions] Please note that this conference call is being recorded. 
 I would now like to turn the call over to Farand Pawlak, Vice President of Investor Relations and Corporate Communications. 
Farand Pawlak: Thank you. Good afternoon. We appreciate you joining us for today's call. With me on the call today are Dave Banyard, President and Chief Executive Officer; and Andi Simon, Executive Vice President and Chief Financial Officer.
 We issued a press release earlier this afternoon disclosing our first quarter 2024 financial results. If you do not have this document, it is available on the Investors section of our website at masterbrand.com.
 I would like to remind you that this call will include forward-looking statements in either our prepared remarks or the associated question-and-answer session. Each forward-looking statement contained in this call is based on current expectations and market outlook and is subject to certain risks and uncertainties that may cause actual results to differ materially from those currently anticipated. Additional information regarding these factors appears in the section entitled Forward-Looking Statements in the press release we issued today.
 More information about risks can be found in our filings with the Securities and Exchange Commission, including under the heading Risk Factors in our full year 2023 Form 10-K and updated as necessary in our subsequent 2024 Form 10-Qs, which will be available once filed at sec.gov and at masterbrand.com. The forward-looking statements in this call speak only as of today, and the company does not undertake any obligation to update or revise any of these statements, except as required by law.
 Today's discussion includes certain non-GAAP financial measures. Please refer to the reconciliation tables which are in the press release issued earlier this afternoon and are also available at sec.gov and at masterbrand.com.
 Our prepared remarks today will include a business update from Dave followed by a discussion of our first quarter 2024 financial results along with our 2024 financial outlook from Andi. Finally, Dave will make some closing remarks before we host a question-and-answer session.
 With that, let me turn the call over to Dave. 
R. Banyard: Thanks, Farand. It's good to be speaking with you all on our first quarter 2024 earnings conference call. I'm pleased to say that MasterBrand delivered a solid quarter to start the year. Net sales in the first quarter of 2024 were $638 million, a 6% decline over the same period last year. This mid-single-digit decline was in line with our expectations as we experienced the continued impact of anticipated trade downs and our return to normal promotional activity through the first quarter.
 Volume was roughly flat on a year-over-year basis as we saw growth with our customers servicing the new construction market offset by declines with our customers servicing the repair and remodel market. Again, this was in line with our 2024 end market demand assumptions laid out on the last call, which I'll revisit shortly.
 Operationally, the company continued to perform exceptionally well. We delivered adjusted EBITDA of $79 million in the first quarter and a related margin of 12.4%, 40 basis points higher than the same period last year. Our margin expansion was again driven by cost savings from our strategic initiatives and continuous improvement efforts, which more than offset the negative impact of lower average selling price.
 Our first quarter performance followed our trend of delivering year-over-year margin expansion despite market softness. This is a testament to 2 things: one, our associates' dedication to The MasterBrand Way, our business system. And two, the success of our strategic initiatives, Align to Grow, Lead Through Lean and Tech Enabled.
 When we first introduced The MasterBrand Way, our focus was on deploying foundational lean tools and improving operations. During this early period, our executive team, myself included, spent a great deal of time training and coaching all levels of associates on how to use these tools. More importantly, our time spent on the plant floor was about fostering a culture of continuous improvement and driving the mindset of problem-solving at all levels of the organization. As this culture took hold, you saw our operational efficiency improve as well as our financial performance.
 Fast forward to today, Lean as a way of working is just part of what we do. Our associates, along with the core team of CI professionals are driving daily operational improvements utilizing our toolkit, and we continue to see the benefit of the work on our adjusted EBITDA margin performance this quarter. This quarter, we also continued to benefit from our strategic initiatives, specifically significant cost savings from our quality process initiatives and carryover savings from our prior year supply chain work. I'll provide a deeper update on our strategic initiatives shortly.
 Our continued discipline around working capital management allowed us to deliver free cash flow of $12 million in the quarter. Prior to last year, MasterBrand has historically been a consumer of cash in the first quarter. So this relatively strong performance is an encouraging trend to see.
 Now let me provide more detail on the end market demand we saw during the first quarter. Similar to our financial and operational performance, end market demand was in line with our expectations. Our customers servicing the U.S. single-family new construction market, we saw demand increase year-over-year, high single digits in the first quarter. Demand trends improved across multiple regions with large production builders continuing to outperform other segments of the market. Large production builders, both public and private, remain the best suited to address pent-up demand for housing and we are benefiting from our close relationships with them. We serve these builders through a combination of direct sales and sales through our distribution partners.
 Given the positive tone from builders and the new product and channel-specific offerings, we continue to introduce for them, we remain optimistic about this portion of the market. This optimism is tempered with our view that land and labor constraints along with potential for some supply chain disruptions in certain categories could limit growth. We continue to believe this market will grow year-over-year mid-single digits with relatively normal sequential seasonality and moderating year-over-year growth rates later in the year due to more challenging comparables.
 As for our dealer and retail customers who primarily service the repair and remodel market, demand continued at a similar pace to the fourth quarter of 2023. On a year-over-year basis, we saw demand decline high single digits in both our retail and dealer channels as customers continue to note lighter-than-usual foot traffic and extended decision lead times. This was in line with our expectations for this portion of the market as consumers remain hesitant to make large ticket purchases given general macroeconomic uncertainty. Those who are willing to commit to larger purchases are being more thoughtful about total project costs and choosing fewer features in their order.
 Accordingly, our outlook for the U.S. repair and remodel market for cabinets remains unchanged. We still expect to see mid-single-digit declines for 2024 with year-over-year declines easing as we progress through the year and annualize these impacts, which we've already seen occur from the fourth quarter of 2023 to the first quarter of 2024.
 In Canada, both the new construction and repair and remodel markets remained slow year-over-year as expected, but we've seen signs of stabilization. We were pleased to even see areas of sequential improvement in order intake in new construction and repair and remodel markets, which appear to be signaling a bottoming app. This and the steps that the Canadian government is taking to improve housing affordability for existing and new homebuyers are favorable signs for the Canadian housing market. While these are encouraging developments, we still expect to see soft end market demand continue with year-over-year high single-digit declines in 2024. This outlook is based on new housing starts being meaningfully lower and repair and remodel activity being down mid-single digits year-over-year.
 End market demand was in line with our expectations for new construction and repair and remodel markets across North America, and we see relatively no change to our underlying assumptions. Therefore, we're reiterating our overall market demand expectation of down low single digits year-over-year in 2024. Our assumptions originally factored in the moderate reduction in interest rates later in the year. While there's been a lot of press around the timing of potential rate cuts, this remains a dynamic situation. We feel that we have a balanced approach related to Fed actions and our outlook does not depend on rate reductions occurring on any timetable. Our outlook was more predicated on rate stability rather than on future rate reductions. With this backdrop in mind, we still expect a gradual improvement in existing housing turnover, along with the solidifying of demand levels for new construction as the year progresses.
 Our assumptions also anticipated little improvement in larger ticket R&R spending within 2024 as consumer R&R spending would mostly be on smaller ticket items to start. So as you can see, we believe our end markets are largely progressing as anticipated and will continue to do so. Given 2024 looks to remain a transitory year from an end market demand standpoint, we remain focused on operating efficiency, serving our customers and continuing to execute on our strategic initiatives.
 Now I'd like to share some recent successes and updates from across these 3 initiatives. I briefly mentioned the new product and channel specific packages launched for our large builder partners servicing the new construction market. This is a good example of how our Align to Grow initiative is driving growth for MasterBrand. Through our close relationships with these large builders, we work to match our offering to their needs. We've seen excellent results from this approach with many of these top builders awarding us new business through the fourth quarter of 2023 and into the first quarter of 2024.
 It does take a lot for these projects to go into production. We are already seeing the benefit from the work we've done over the past year. We believe this is how 80/20 and the Align to Grow initiative will produce the growth we need to achieve our long-term financial targets.
 Moving to our Lead Through Lean initiative. This initiative is the furthest along in its journey, and we continue to make great strides here too. As I mentioned earlier, this is really about our culture of problem-solving in every level of the organization. While this culture has taken hold, as MasterBrand looks to grow, we need to further equip our associates to lead and address problems closest to the work. To help with this, we've introduced True Leader. Our program designed to ensure that frontline supervisors are skilled and leading others and coaching them for success.
 We've also taken steps to help associates know what success looks like through our newly introduced success model. This model focuses on the behaviors that truly differentiates great performance at MasterBrand and those that will be rewarded. We believe that enhanced training, clear expectations and related financial incentives will help our associates continue to deliver operational excellence and sustained growth.
 Now let me touch on our tech-enabled initiatives and specifically our work on quality processes. On our last call, I mentioned that our digital infrastructure team continued to make progress on cloud migration efforts and delivering near real-time data. Our quality team is already benefiting from this improved information with better data and insights as to where and when quality issues are occurring. As a result, we've been able to address these issues with more precision and are already seeing the financial and operational benefits. These insights, coupled with the technology we're implementing to inspect product should continue to drive our cost of quality lower.
 Lastly, we continue to make progress on rolling out the MasterBrand Connect portal to our dealers and distributors. The rollout of this portal is well underway, and we're continuing to build more functionality into the application. Reducing friction for our customers is a top priority, and we will have more exciting features to share later this year. With the end market demand progressing as anticipated, and our associates executing on our continuous improvement plans and strategic initiatives as expected, we're pleased to reiterate our full year 2024 outlook.
 Now I'll turn the call over to Andi for a more in-depth discussion of our financial results and additional details on our 2024 outlook. 
Andrea Simon: Thanks, Dave. I'll begin with an overview of our first quarter financial results then I'll provide our thoughts around the remainder of 2024 and our full year outlook. First quarter net sales were $638.1 million, a 5.7% decline compared to $676.7 million in the same period last year. Our top line performance was primarily the result of year-over-year growth from our customers serving the new construction market offset by anticipated volume declines in the repair and remodel market as well as a softening in our net ASP, largely due to continued trade down activity and our reintroduction of customary targeted promotions.
 Gross profit was $204.7 million in the first quarter, roughly flat with $204.6 million in the same period last year. Gross profit margin expanded 190 basis points year-over-year from 30.2% to 32.1%. This year-over-year margin expansion was driven by cost savings from consistent execution on MasterBrand strategic initiatives, specifically our quality processes and carryover from last year's supply chain work and our continuous improvement efforts which more than offset the negative impact of lower ASP and personnel inflation.
 Selling, general and administrative expenses were $137.8 million, a 1.8% increase compared to the same period last year, primarily driven by personnel and personnel-related inflation and higher investments in our tech-enabled initiative.
 Net income was $37.5 million in the first quarter, a 7.1% year-over-year increase compared to $35 million in the same period last year. This increase was primarily driven by lower interest expense of $14.1 million in the first quarter compared to $17.4 million in the same period last year and a lower income tax expense of $11.5 million or a 23.5% effective tax rate in the quarter compared to $12.9 million or a 26.9% rate in the first quarter of 2023.
 Diluted earnings per share were $0.29 in the first quarter of 2024 based on 130.5 million diluted shares outstanding, an increase from diluted earnings per share of $0.27 in the first quarter of last year based on 129.5 million diluted shares outstanding. Adjusted EBITDA was $79.4 million compared to $81.5 million in the same period last year. Adjusted EBITDA margin expanded 40 basis points to 12.4% compared to 12.0% in the comparable period of the prior year despite lower sales. This margin expansion was driven by cost savings from our strategic initiatives and continuous improvement efforts, which more than offset the negative impact of trade downs.
 Turning to the balance sheet. We ended the quarter with $153.7 million of cash on hand and we remain undrawn on our $500 million revolver. Net debt at the quarter end was $554.3 million resulting in a net debt to adjusted EBITDA leverage ratio of 1.5x consistent with the fourth quarter of 2023 and down from 2x in the first quarter of 2023. Our balance sheet remains strong with the financial flexibility to invest in the business for growth.
 Operating cash flow was $18.7 million for the 3 months ended March 31, 2024, compared to $62.1 million in the comparable period last year and better than our expectations. As you recall, the first quarter of 2023 benefited from the planned inventory reduction from our 2022 strategic build. The first quarter of 2024 also reflects a larger annual incentive compensation payout year-over-year due to a higher attainment percentage.
 Capital expenditures for the 3 months ended March 31, 2024, were $7 million compared to $2.9 million in the prior year period. As Dave mentioned on our last call, we made the decision to accelerate investment in the business, specifically in our tech-enabled initiative, and we saw this higher investment spending continue in the first quarter. We plan to further ramp our investment spending, and we still expect 2024 capital expenditures to be in the range of $55 million to $65 million.
 Free cash flow was $11.7 million for the first quarter of 2024 compared to $59.2 million in the comparable period last year. While lower year-on-year, this is relatively strong compared to historical first quarter performance, especially in light of some of the larger cash uses. 
 Finally, during the first quarter, we repurchased approximately $1.9 million of our common stock under our existing stock repurchase program. We have roughly $26 million left under our existing authorization.
 Now let's turn to our outlook. We are pleased with our performance so far and the year is unfolding as we anticipated. While there is certainly increased macroeconomic uncertainty, as Dave mentioned earlier, end market demand is progressing as anticipated. We believe our growth initiatives will allow us to achieve our previously stated 2024 financial outlook while continuing to invest in the business for growth. We are, therefore, reiterating our full year 2024 guidance. We continue to anticipate our 2024 net sales will be in the range of down low single digits to flat year-on-year.
 Let me provide some additional color on the drivers of our net sales in relation to the market. Our 2024 outlook contemplates the continued effect of trade downs and a more normalized pricing environment, including customary promotions. We saw this pattern develop in the second half of 2023. So there is some annualization impact from the normal pricing and promotion environment in the first half of 2024, but we would expect to see less impact in the second half of the year as we get to normalized comparisons. We anticipate a more normal inflationary environment, and we'll continue to evaluate price quarterly in response to that.
 As Dave mentioned, our 2024 outlook assumes big ticket repair and remodel will lag smaller ticket items, resulting in a timing difference between our net sales and our broader R&R market recovery. To offset this net sales headwind, we have a variety of new products and channel specific packages that launched late last year and in the early part of this year across both the new construction and repair and remodel markets.
 As part of our Align to Grow initiative, we have tailored these products to satisfy the specific end markets and regions best positioned for growth. As these products gain traction, these incremental sales will more than help offset the previously discussed impacts of trade downs and customary promotions. We remain confident that our existing manufacturing capabilities and our common box initiative provides the flexibility needed to adjust capacity up or down with demand. As we did in 2023, this flexibility, along with cost actions should allow us to deliver strong margin performance. This flexibility also provides us ample capacity to service our customers as demand strengthens.
 We will continue to be nimble and adjust our manufacturing network as needed to address any future market conditions. This ability to flex manufacturing, coupled with our strategic initiatives and continuous improvement efforts, will allow further investment in the business.
 As we highlighted on our previous earnings call, given the success of our early tech-enabled initiatives, we plan to invest an incremental $20 million into this initiative in 2024. With 2024 shaping up to be a relatively stable year, particularly from a demand perspective, we are taking this opportunity to further invest and position ourselves for future growth when a more robust demand environment returns. With this in mind, we continue to expect adjusted EBITDA in the range of $370 million to $400 million, with adjusted EBITDA margins of roughly 14% to 14.5% for 2024. Interest expense is still expected to be approximately $55 million to $60 million and our anticipated tax rate between 25% and 26% is unchanged. As a result, our expectation that our adjusted diluted earnings per share will be in the range of $1.40 to $1.60, also remains the same.
 As I mentioned earlier, we are still planning 2024 capital expenditures to be in the range of $55 million to $65 million. This investment is approximately 1.3x depreciation, which is within our stated long-term goals. Given the steps we have already taken to reduce working capital and these other factors, we continue to expect free cash flow to be in excess of net income for 2024, but the magnitude of working capital improvements in 2023 will not repeat.
 With that, I would like to turn the call back to Dave. 
R. Banyard: Thanks, Andi. We're pleased with our solid start to the year with continued year-over-year adjusted EBITDA margin expansion and better-than-anticipated first quarter free cash flow. We are reiterating our full year 2024 outlook and are on a trajectory to achieve our long-term financial targets. Beyond the financial performance, I'm proud of the culture and associate engagement we're cultivating. We recently had our semiannual employee satisfaction survey, and we continue to exceed manufacturing industry benchmarks and see sequential improvement across the organization. I want to thank our associates once again for their continued support, as we work on building great experiences together.
 Now with that, I'll open the call up to Q&A. 
Operator: [Operator Instructions] The first question we have is from Adam Baumgarten of Zelman & Associates. 
Adam Baumgarten: Question on top line. I think you said volumes were flat, so that would imply price was down around mid-single digits. Can you walk us through how much of that was trade down versus like-for-like price reductions? 
R. Banyard: Yes. I think most of it is trade down, Adam, similar pattern to what we saw through the second part of last year. If you remember back, it sort of started in the late part of Q2 into Q3 last year, and the impact was roughly similar. So it's mostly that. Because straight down is -- it occurs both in -- primarily in new construction because you have large customers there where you're kind of talking about large developments. But we're seeing the consumer also trade down inside the dealer network as well. So you see a lot of it there.
 And then there's -- like we've highlighted before, there's -- the cabinet market has a normal customary promotional cadence to it, and you're seeing some of that there. And that's less of an impact in the total picture. So it's mostly the trade-down effect. 
Adam Baumgarten: Okay. Got it. And then just on input costs. Any change to how you're thinking about that for the year? 
R. Banyard: Yes. I think input costs are behaving in -- there's a lot of things I'd characterize this way in the current environment. It's sort of the normal pace. I'd say in a normal environment, you have some ups and downs. We're seeing some commodities increase in material. It's sort of similar to the way it was prior to COVID. You have, what I'd call, some normal inflation in certain categories. And obviously, we still have labor inflation that has not changed. And so we're reacting to that the way we normally do, which is evaluating our pricing every quarter to adjust to factor in if anything moves outside the boundaries of what we can overcome through productivity and other things.
 So it's not -- nothing that I would call outside of a normal pattern. But it's -- we're seeing a little bit of firmingness, I guess, I would say, in some of the commodities. 
Adam Baumgarten: Okay. Got it. And then just last for me. Just to the extent you have any and if you could size it just multifamily exposure? 
R. Banyard: Very little if any. It's -- we might have some through some of our distribution partners. We don't always see what they're bidding on, but it's very limited, de minimis. 
Operator: The next question we have is from Garik Shmois of Loop Capital Markets. 
Garik Shmois: Just first on pricing. It sounds like you're expecting the pricing comps to ease in the back half of the year, just given the timing of when you're starting to see the trade-down effect in some of the normalized promotions back in 2023. But just kind of curious, a big ticket repair and remodel continues to lag as you expect. What gives you some of the confidence that promotions will be at normal levels in the second half of the year, you're not going to have to see another kind of step down in that activity. 
R. Banyard: Yes, it's a good question. I think it's the pace that we've seen. It really hasn't changed much and we're now 9 months past the point where price sort of stopped growing. And so I think that we're able to see can a consumer absorb the current price environment and we're seeing that. It's -- I wouldn't say that we're disappointed with volume. I think volume is kind of coming in exactly where we thought. And so there's really no impetus one way or the other on price in the way the consumer is behaving through the dealer network.
 So that's -- I mean that's the best you can do. You have to feel the market for price. And it feels like this is the normal environment. So that's -- just gives us comfort that based on the way the things have progressed, there's been some choppiness in the interest rate category, but that hasn't really changed behavior in a way that affects our outlook. So I think we're -- again, we see the sort of normal steady pace with it. And you watch the business and it performs in a normal cyclical -- or excuse me, a normal seasonal pattern that gives you confidence that the rest of the year will follow that same pattern.
 And just to reiterate for us, we start seeing that business pick up in the second quarter. Third quarter is typically the strongest because the orders are coming in, in the second quarter, and they're delivered in the third and then the fourth quarter sort of tempers down from that. So that's our normal pattern, and we're seeing the order patterns are following that. It feels very much like we're in a normal year and so that's what gives us that confidence. 
Garik Shmois: Okay. Follow-up question is just on some of the tech-enabled initiatives that you're accelerating, any way to size that? Is there maybe an outsized impact on costs or SG&A or CapEx over the next several quarters? Are you pulling from future years because you see opportunities right now. So just a little bit more color on what you're doing there and maybe some of the financial impact. 
R. Banyard: Sure. Yes, it fits within the construct of the guidance we've given, both on capital as well as in expenses and EBITDA. I will say that it can be a little lumpy in some cases. To some extent, there's a number of discrete projects we're working on. So it's not just 1 big lump of money. It's -- there are a number of discrete projects, each with their own value and each evaluated on their merits. We will probably see a bit more of that activity in Q2 than -- certainly than we did in Q1 and year-over-year, certainly more. So Q2 will have a little higher spend rate on some of these, and that's purely a function of you do a project, you plan it and then once you hit the ground with the implementation of it, that's when you really start spending. There's a little spending in the planning portion, but on a lot of these, there's a lot of implementation costs and some of that's capital, but in most cases, it's SG&A-type costs.
 So I would expect to see a little bit more than the average in Q2 this year within that sort of tapering off towards the end of the year, which is a little different than last year in terms of the flow of that cost. So it's -- the unfortunate part is it's a little lumpy, but all the benefits come sooner if you do it quicker. So that's partly our impetus to -- we've planned out a lot of these and feel we have the bandwidth to execute on them. So why not do it quickly. 
Operator: The next question we have is from Tom Mahoney of Cleveland Research. 
Thomas Mahoney: I was wondering if you could call out any differences in demand by region of the country, if anything sticks out in the trends you're seeing so far year-to-date? 
R. Banyard: Yes. I think the thing that stands out the most so far this year is it's a little bit of the opposite of last year, where the strength through -- I'll start with new construction, let's go there. The new construction last year in the early part of the year was weak in a lot of places, but there was still some strength in the Southeast and that's flipped a little bit as other regions have come back, a lot of the larger builders have -- either they built ahead to keep the business going last year in that region. And so they've backed off a little bit or there's maybe a tougher comp, if you will, for them in those regions because, I mean, if you look at the overall building activity across the country it's grown year-over-year nicely. But sequentially, it's sort of steady and so I think that there's been a buildup of activity in other parts of the country. The Southwest is an example. That part of the country was pretty slow last year this time, and it's much better this time -- this year. 
 Northeast and Midwest are typically -- obviously, they're not building as much in the winter, the weather was a little more favorable, I think. So we did see some activity in those regions through the months, which we don't normally see. But the pace there is, again, steady and normal from what we would expect.
 So on the R&R side, it's -- I'd say there's -- it's pretty even across. We tend to obviously have more presence in larger metropolitan areas. So you tend to see more remodel going on in the New York area, for example, or Miami or places like that. So that tends to follow where people are moving and where people are sitting. And so that's always -- over the past couple of years, it's been stronger in the South than it has been in the North, but we're pretty happy with how the North is behaving right now and then particularly the Northeast.
 So I wouldn't call out any particular region as being higher. Well I mean it's not -- to be fair, Tom, it's not a super robust market. Don't get us wrong. We're saying steady and normal, but it's still not. There's no inflection here where all of a sudden people are piling into remodel. It's sort of steady along as we go here -- yes, at that pace. 
Thomas Mahoney: Understood. And you talked a little about the SG&A cadence and some of the investments that come through the year. I was interested if corresponding, if there are any gross margin -- is there any cadence to the productivity savings as they come through on gross margin we should make sure to consider as you move through the year? And then was 1Q better than you guys expected to be on gross margin or kind of right in line? How do you think about that? 
R. Banyard: Yes. I mean I'll answer and then maybe Andi can fill in some more details. I think gross margin is something we can try to keep as steady as we can. It's -- and when you're in a steady-state environment, you should be able to do that. Obviously, that's where certain inflationary things might pop up, labor is a big component of our cog. So you'll see some in there. But I think generally, where we're sitting is where we project forward. And then the continuous improvement either overcomes any inflation that you have or it adds productivity. And so generally, you tend to see a little bit of improvement as the year goes on, but I think we're kind of in a pretty good spot there.
 Andi, do you want to add anything? 
Andrea Simon: Yes. So I mean, the big part of that gross margin improvement overcoming that personnel inflation is the current CI and SD, but it's also that carried over of our supply chain initiatives last year because that really started coming through mid-second quarter last year. So we got some carryover effect of the supply chain initiatives in the Q1 that helped build that gross margin. And then from an SG&A perspective, that tech investment is all in SG&A. So you won't see that in the gross margin. 
Thomas Mahoney: Got it. Got it. And then just the last one, if I could squeeze it in. Any key variables that you're looking at between the low end versus the high end of the range? Is it just demand related and revenue related? Are there any other moving pieces that you're thinking about? 
R. Banyard: Yes. I think the big -- the big thing we're looking at is that we highlighted it a bit in our prepared remarks is this what might limit builders from being able to grow more than what's in our forecast. And that's -- we think demand is there, but we think there's some constraints that builders may face. And frankly, some of those constraints may be that demand slows, but I don't think that we don't need to have an acceleration in demand to achieve our forecast.
 So I think the -- if some of these constraints still come to fruition, and I mean -- what I mean by that is land availability, labor availability, those kinds of things, perhaps some other commodity challenges that they may face. If those don't come to fruition, we may see that the higher end of the range. I think at this point, our -- we think R&R will be fairly steady throughout the year, and we're not looking for an inflection there. So certainly, if that happens, great, but we're not planning on that to achieve the high end of the range if we were to get there. So it's really mostly around new construction. And I think that we're pretty well balanced for what we're seeing in the market right now. 
Operator: There are no further questions at this time. And with that, I would like to hand the call back to Farand Pawlak for any closing remarks. 
Farand Pawlak: Thank you, operator, and thank you, everyone, for joining us. We appreciate your interest and your continued support. We look forward to updating you on our future calls. This concludes our call for today.